Operator: Good day, and welcome to the Q1 2016 Minerals Technologies Inc. Earnings Conference Call. Today's conference is being recorded. At this time I would like to turn the conference over to Rick Honey, please go ahead, sir.
Rick Honey: Good morning. Welcome to our first quarter 2016 earnings conference call. Today, Chairman and Chief Executive Officer, Joe Muscari, will provide some insights into MTI’s performance and growth prospects, and we'll then turn the call over to our Chief Financial Officer, Doug Dietrich, who will give you a detailed report of our financial results for the quarter. Before we begin, I need to remind you that on page 13 of our 2015 10-K, we list the various factors and conditions that may affect future results, statements related to future performance by members of our management, are subject to these cautionary remarks and conditions . Now I'll turn the call over to Joe Muscari. Joe?
Joe Muscari: Thanks, Rick. Good morning, everyone. We had a good start to 2016, as our minerals-based businesses continued their strong performance, providing the foundation for $1.02 in earnings per share that we delivered this quarter. These business segments together, especially minerals, performance materials, and construction technologies, recorded an operating margin of 17% and an EBITDA margin of almost 24%. Moreover, the specialty minerals segment posted a record operating income for the first quarter in MTI's 23 year history. Overall, MTI's operating margin for the quarter was just under 15%, a significant accomplishment. Our efforts in China continue to gain traction as Company sales there increased 15% in the quarter, with the main contributors being a 45% rise in Paper PCC sales and a 110% increase in fabric care sales over last year. And earlier this week, we announced another commercial agreement with a prominent Chinese paper maker for adoption of our FulFill E325 high filler technology. This now brings our total to 25 FulFiller agreements with paper mills around the world. We also continue our strong focus on debt reduction as we paid off $40 million during the quarter. On the operations front our operational excellence lien initiatives continues to gain strong momentum with employees of the former AMCOL businesses. We delivered a 5.5% productivity improvement across the Company for the quarter, which equated to around $1 million in cost reductions. Overall, our safety performance also continued on a strong improvement track as our recordable injury rate is 20% lower than last year, and lost work day injuries are running around 40% lower. Foreign exchange continued to have a negative affect on our sales, as did the weak energy and steel markets. And Doug will give you more detail around these shortly. This earnings graph illustrates the continued significant benefit that the AMCOL acquisition has brought to MTI, in spite of the depressed energy market and poor performance of our energy services business, the underlying strength of our three minerals-related segments, which comprise nearly 80% of our total revenues, overcame most of the negative effects of both energy and steel to yield a continued high accretion level above the heritage MTI levels. This slide is a simple snapshot of the breakdown of sales and operating income by business segment, highlighting the significant contribution from our two largest minerals-based segments, especially minerals and performance materials. As the minerals businesses overall contributed almost $54 million in operating income for the quarter, which was 6% over last year and sales actually grew on a constant currency basis. Margin improvement as you can see was also a very positive factor in the quarter, as it grew 7.5%. It should also be noted that operating income for our minerals businesses have more than doubled from pre-acquisition levels. The underlying drivers for this high level of performance center on our performance materials business, the Paper PCC business, and the performance minerals business, which consists of talc, ground calcium carbonate, and specialty PCC. Our performance minerals business also had a record first quarter, with 12% sales growth in GCC and 9% in talc. Overall, performance minerals operating income increased by 28% over last year, as a result of a strong construction industry, market penetration, and energy savings. Paper PCC volumes were up 9% worldwide, and increased 60% in China with the ramp-up of two new satellite PCC plants there, that will contribute 160,000 tons of additional capacity. And three additional satellites are under construction, which will add another 215,000 tons of capacity. It should be noted that, as shown on this slide, that we have now actually been able to grow our global PCC volume over the last four quarters, in spite of the declines in paper production in North America and Europe. And, as you can see, the new Asia satellite facilities, as depicted by the blue line, have more than offset the volume declines due to the paper mill closures that have taken place over the last several years. Our penetration through substitution strategy in China is tracking well, as we drive our overall Asia growth from the current 800,000 tons to over 2.5 million tons over the next five years. Performance materials also continued its strong performance across global markets, the 20% operating margin was generated through improved sales, especially in the fabric care, pet care and personal care product lines. As well as through improved productivity and manufacturing cost reductions. Fabric care, which consists of granular additives like surfactants for dry laundry detergents, increased 82% in Asia over the prior year. The first quarter, as you know, is a historically seasonally weaker period for the construction technology segment. But we did see an 18% increase in sales of environmental products in a double digit operating margin for the entire segment. The service-related businesses continued to pose a significant challenge to us. But it's one that we continue to manage through as we implemented further overhead and operating cost reductions during the quarter. As you can see from the graph, at the bottom of right of this slide, as oil prices began to drop over a year ago and around the same time the worldwide steel industry also began to weaken, our energy service and refractory segments basically followed the downturn in both markets. As you can also see, however, we've been able to hold a decent margin level for refractories, while keeping energy services, which has suffered more than a 50% revenue loss above break even. We continue to re-organize energy services to reduce break-even levels and concentrate our resources on our filtration business, where there are actually new business opportunities for us, due to our technology advantage separation infiltration products. Saudi Arabia, Malaysia, and Brazil are also areas that offer additional sales potential to us as North America continues to experience some decline. Let's now just take a few minutes to revisit and review some of MTI's key growth initiatives. Besides the strong growth track that we're on in China for Paper PCC, the performance materials, metal casting, binder systems in China is on a similar track. We're also deploying a product substitution strategy with this business and we continue to track well toward our 2020 growth target, in spite of China's overall slower growth. The business segment is also very well positioned in emerging markets for growth of the fabric care and pet litter product lines. Fabric care, as evidenced by the 110% growth in the first quarter in China, presents a significant opportunity because of the increased use of dry laundry detergent in Asia, as GDP increases and the middle class expands. Our construction technology segment also offers multiple avenues of growth through a new products and expertise in environmental remediation for landfills and river beds, as well as waterproofing systems for commercial construction. We're currently working aggressively to help electric utility companies comply with recent U.S. EPA regulations by supplying a new Resistex line for coal ash generated from coal-fired power plants. We also see new global opportunities for resist techs in red mud applications. Red mud is a by-product of producing alumna, which goes into making aluminum. Over the next two quarters, we expect to be supplying over $12 million of Resistex products globally, which represents a four-fold increase over last year. We also see substantial opportunities to utilize these technologies in China, which has become more focused on enforcing its environmental regulations as promulgated in its new five-year plan. Our new yield technology, which converts a paper mill waste stream into a functional filler pigment for paper, is performing well at the newly constructed satellite plant at the newly constructed satellite plant at Sun Paper in China. And we're now targeting an additional 15 paper mills in China for this technology, which basically eliminates the cost of land filling the waste, while providing a paper filling pigment. As I stated earlier, we recently signed a commercial agreement for FulFill, marking our 25th such agreement and our FulFill team is working with an additional 19 paper mills worldwide for adoption of this technology. In Performance Materials we continue to develop new higher-performing if Greensand Bonds for our foundry customers and these higher-value products will provide growth in emerging markets as foundries worldwide seek to become more competitive and move up the value chain. Our Enersol crop enhancement product, which is an organic compound that promotes sustainable growth and optimal yield of commercial crops, is relatively small right now. But we continue to see good results from recent trials and are targeting annual revenues of $50 million by 2020. Question also continued to advance our newly marketed lightweight pet litter, which is about 40% less dense than traditional litters. In addition to the new products that the Heritage MTI and former AMCOL had in their respective pipelines, the acquisition has allowed us to combine our R&D teams to explore overlapping and unique areas of our expertise in fine particle technology, coatings and polymers. We've instituted eight in-depth technology reviews with combined scientific teams on product areas such as adhesives and sealants, pet care, metal casting, non-woven materials, flexible packaging, and agricultural enhancers. To date we've made significant advances in the pet litter and sealants areas, that have resulted in more than $15 million in new sales. In addition to our efforts to expand around the globe and develop new products. We'll continue to focus, as I've mentioned before, on acquisitions. Although our primary plan this year is to continue to reduce our debt, our M&A group is active and pursuing a number of targets and as most of you also know, we're looking at a variety of different size opportunities. Overall, we had a good start to the year. And I believe that we'll continue on this performance track, despite the challenges in the energy and steel markets, for the remainder of 2016. Now let’s turn it over to Doug.
Doug Dietrich: Thanks, Joe. Good morning everyone. Now let's go through our first quarter consolidate the results. I'll cover for you performance in each of our five segments and I'll also provide you with our outlook for the second quarter. So solid quarter for us with earnings per share from continuing operations of $1.02, excluding special items, compared to $1.07 last year. Reported earnings this quarter were $0.97 per share, including special charges of $1.6 million, or about $0.05 per share related to additional restructuring in energy services and acquisition integration charges associated with IT systems integration. Our minerals businesses has had a strong quarter, led by the specialty minerals segment, which had a record first quarter. However, this performance was offset by lower operating income in energy services. Total sales for the quarter were $410 million, $43 million lower than last year. Weak market conditions in the oil and gas sector reduced energy services segment sales by $31 million, while foreign exchange accounted for an additional $17 million of the decline. Sales increased over last year in several product lines. Our combined business in China grew 15% over last year, including a 45% increase in Paper PCC, and a 10% increase in sales in performance materials, driven by fabric care sales, which increased 110%. We also saw strong growth in both talc and ground calcium carbonates which, combined, increased 11% over last year and in environmental products, where sales increased 18%. Operating income, excluding special items, was $60.1 million, compared to $63.3 million in the prior year. You can see from the chart on the top right, the $5.8 million income improvement in our minerals businesses, which was offset by a $5.5 million decline in our two services businesses, and by foreign exchange, which reduced operating profits by an additional $3.5 million. Despite the current challenges with energy, steel and foreign exchange our operating margins improved 5% to 14.7% of sales. Productivity was the highlight this quarter, with each of our segments improving over last year, and total manufacturing productivity improved by close to 6% and generated $1 million in lower costs. Operating cash flow for the quarter was $42 million, free cash flow was $26 million and we made a debt principle payment of $40. We also repurchased 49,000 shares in the quarter, for approximately $2.4 million, at an average price of$48.37 per share. Now let's go through the specialty minerals segment, which, as I mentioned, had a record first quarter. Segment sales were $156 million and grew 5% on a constant currency basis over last year, driven by the growth of PCC in China and GCC and talc sales in performance minerals. Within the segment Paper PCC sales grew 4% on a constant currency basis, and volumes improved 9% despite the impact we saw this quarter from the Verso Paper Machine shutdown in the U.S. This is the fourth consecutive quarter of global PCC volume growth, driven by, primarily by, China, where PCC sales are up 45% from the three new satellites we commissioned there last year. We're currently constructing three additional satellites in China, that will add an additional 215,000 tons of capacity, one of these satellites a 100,000 ton filler satellite, with Sun Paper, will come online at the beginning of quarter three, and the other two, including our first satellite for coded packaging in the first part of 2017. We also just announced our 25th commercial agreement for our FulFill E325 high filler technology in the quarter, with a paper maker in China. We now have ten agreements in Asia, eight in North America, six in Europe, and one in South America. Our processed minerals business had a very strong quarter, with sales 11% higher than last year, driven by 12% growth in ground calcium carbonates and a 9% increase in talc. Operating income for the segment was $25.7 million and grew 11% over last year. Operating margins were 16.5%, 150 basis points higher than last year, bolstered by a 4% improvement in productivity, combined with lower energy costs, resulting in $1.8 million in savings. The strong performance was achieved despite foreign exchange, which negatively impacted operating income by $1.4 million or about 6%. Here's what we're currently seeing for the second quarter. Paper PCC, we expect operating income to be slightly lower than the first quarter. The result of lower volumes in sales as our customers take their normal annual maintenance outages, which typically occur in the second quarter. In performance minerals, we expect an increase in operating income as the second quarter is typically the strongest seasonal period for this business. Overall for this segment, we expect second quarter operating income to increase approximately 10% from the first quarter levels. Now let me take you through the performance materials segment. Our sales this quarter were $119 million, 2.5% lower than last year on a constant currency basis. Within the segment, sales and metal casting were lower by 8% due to lower Greensand Bond sales to the U.S. Agricultural Casting Market and due to weak February sales in China. However, China metal casting sales improved significantly in March. In the household and personal care product line, fabric care sales in Asia increased 82% over last year, driven by higher sales in China and Thailand, which were up 110% and 56% respectively. Sales of pet care products were 3% higher than last year with strong sales growth of our new lightweight cat litter products. Basic mineral sales, however were down $7 million or 34% over last year and accounted for the majority of the segment sales decline. Sales of drilling fluid products, iron ore pelletizing products and chromite were all lower, due to continued weak oil and gas drilling activity and lower steel production in the U.S. Operating income for the segment was $23.8 million, foreign exchange had a negative impact of $1.1 million or 5%. Despite the lower sales and negative foreign exchange, operating margins improved 7.5% over last year to 20% of sales. This was driven by strong sales in household and personal care, a 7% improvement in productivity, and lower energy costs. Looking into the second quarter, we expect segment operating income to improve slightly. We see a continued strong performance in the household and personal care product line, and some improvement in metal casting sales, primarily in China. Now let's take a look at the results in the construction technology segment. Sales for this segment were approximately $41 million, 4% higher than last year, and up 8% on a constant currency basis. Within the segment, sales in environmental products were 18% higher than last year, due to a 21% increase in the U.S. Building materials and drilling product sales were 1% lower than last year, due primarily to weaker sales in Europe and Korea. Operating income was up 7% to $4.4 million and represented 10.8% of sales this quarter. Segment productivity improved 7% over last year and we're making good progress with the sales of higher margin, specialty GCL products like Resistex. Looking at the second quarter, we expect a considerable improvement in segment operating income, as we move into one of the strongest quarters of the year for this business, and the seasonal peak for both the commercial construction and environmental remediation markets. We project operating income to almost double from the first quarter levels. Now let’s turn to our services businesses and I'll start with the energy services segment. This business had first quarter sales of $25.8 million, which was 56% lower than last year, and 23% lower than the fourth quarter. Well testing services in the U.S. were lower sequentially and compared to last year, due to the reduced well completion activity in the Gulf of Mexico. Sales in our nitrogen service line slowed significantly this quarter, as market dynamics in the nitrogen delivery have changed over the past several months, with larger gas producers now beginning to offer competing delivery service options. This has increased competition for us, primarily in our onshore markets. Filtration business, however, remains relatively strong, but we continue to face pricing pressure from customers and experience lower than expected first quarter sales in Brazil. Operating income for the segment was $700,000, slightly lower than what we expected on the last call. This was primarily due to well testing and nitrogen, partially offset by reduced costs as we continue to adjust the business's overhead structure to a level appropriate for the reduced sales. Given the current condition of well testing and nitrogen service lines, it's a bit difficult to provide an outlook for the second quarter, however, at this point we expect to see a similar profit levels to the first quarter. Now let's go through the refractory segment. Sales for the first quarter were just over $69 million, 3% lower than last year on a constant currency basis. Factory product sales were 4% lower on a constant currently basis, driven primarily by lower sales in Europe, where sales were down 9%. Metallurgical wire sales were 3% higher on a constant currency basis, driven by increased sales in North America. Crude Steel production was down 4% globally, compared to the first quarter of last year, though the U.S. steel industry capacity utilization rate this quarter hovered between 70% and 73%, which provided greater stability than existed in the third and fourth quarters of last year. Our sequential sales in North America were 2% higher than the fourth quarter as a result. Operating income for the segment decreased 17% from last year $6.9 million though, income improves sequentially from the fourth quarter, due to improved volumes in the U.S. Foreign exchange continues to have a negative impact, reducing operating income by $400,000 or about 5% over last year. Despite the continued challenging market conditions and negative foreign exchange, the business delivered a solid 10% operating income margin for the quarter. Looking forward to the second quarter, we expect profits to be similar to the first quarter. We see some stability in the U.S. steel markets, however, no meaningful improvement in the overall global steel market. Let me give you a quick update on our progress with our debt repayment. Now this chart shows our debt principle payments and associated net leverage ratio for the past seven quarters. Over this period, we've made $330 million in debt principle payments, and have reduced our net leverage from 4.5 times EBITDA to 2.8 times at present. We expect to continue this pace of debt repayment this year and are projecting to be below 2.4 times net leverage by the end of the year. I'd also like to highlight that we recently entered into an interest rate swap on $300 million of our variable rate Term B loan, effectively locking in a rate of 4.25% on this portion. We now have $300 million fixed at 4.75%, $300 million fixed at 4.25% and approximately $600 million remains variable at LIBOR plus 3$. Let me summarize what we're seeing for the second quarter. This is the seasonally strongest period for us, driven primarily by performance minerals and construction technologies. We do expect weakness in the energy and steel markets to continue to pressure our service-based segments. Foreign exchange will continue to have a negative on sales and earnings over last year, however, we expect it to be less than what we've seen over the past several quarters. In addition, we'll see improved sequential operating and free cash flow, which we intend to use primarily for debt repayment. Here's what we're seeing more specifically by segment. In specialty minerals we expect our Paper PCC operating income to be slightly lower than the first quarter, as our customers take their normal annual maintenance outages. In performance minerals we expect a strong quarter, increased operating income as we move into the strongest seasonal period for this business. Overall for the segment, we expect the second quarter operating income to be approximately 10% higher than the first. Performance materials, we expect segment operating income to be up slightly, as we see continued strong performance in the household and personal care product line, and a slight improvement in the metal casting product line, especially in China. In construction technologies, we expect operating income to increase in the second quarter, as this business also moves into its strongest seasonal period. We also expect to see some increased higher margin specialty GCL sales in the second quarter, and we're currently projecting operating income to almost double from the first quarter levels. For energy services we continue to make the necessary adjustments in the segment to maximize profitability. And at this point we expect our second quarter profits to be similar to the first quarter. Finally for refractories, we expect profits to be similar to the first quarter, due to the increased stability in the North American steel market. However, lower than last year’s second quarter, due to the continued relatively weak conditions for steel globally. In total, we expect our earnings for the second quarter to be in the range of current consensus estimates. Now let's open it up for questions.
Operator: We’ll go first Daniel Moore of CJS Securities.
Daniel Moore: Good morning. Thanks for taking the questions.
Joe Muscari: Hi, Dan.
Daniel Moore: Wanted to start out just talk a little bit about PCC. Given the ramp in several satellites and multiple FulFill contract signings, can you give us a sense how should we think about the cadence of growth in PCC as we look out over the next several quarters?
Doug Dietrich: Well, as I mentioned, our next satellite to come online is 100,000-ton filler satellite with Sun Paper, probably around the beginning of the third quarter. So, I think if you look at it on an annualized basis, Dan, we should continue that trajectory. Last year we put in about 170,000 tons of capacity. This year it will probably be 100,000 tons, depending on where those final two satellites come in, late fourth quarter, probably into 2017. So I think you're probably going to continue to see the kind of 9% volume growth. It's not going to be exactly that by quarter. On an annualized basis, you should see that continue.
Daniel Moore: Got it. And then turning to refractories capacity utilizations up a little, steel prices improving. You've got the new agreement with Big River Steel. Has the outlook for the back half of 2016 improved relative to where you saw the world maybe three months ago?
Doug Dietrich: No, I don't think we're taking that view right now. I think, we saw some improvement from the fourth quarter, but the fourth quarter was a very weak quarter for both U.S. steel market and globally. Saw some stability in North America. We think that stability will continue. We'll see imports in the U.S. are down almost 30% over last year. So that's creating some stability for us. But Europe it's a different story. We saw some weakness that continued in Europe, in the Middle East. And also India operations. You know we think we can continue at this pace, strong margins at 10%. I don't think we see the back half any better than the first.
Daniel Moore: Got it. And one and I'll jump back in the queue. Seeing nice pick up in talc and GCC, just your outlook for, you know, expectations of that strength to continue as we look out to the back half of the year and what are some of the key products and drivers there.
Doug Dietrich: Yes, we see that strength continuing. You know, we have strong automotive markets, talc goes into a lot of plastic applications in automotive, GCC in the construction market, you know both were up almost 11% total. We're hitting our seasonal strong period in the second and third. You know, that will start to slow down in the fourth. But on year-over-year basis, we see continued strength in both of those product lines.
Daniel Moore: Okay. Last one, I promise. You normally give a guidance range for EPS just to save any confusion. Can you give a sense of where you're seeing the current consensus?
Doug Dietrich: Yes. Current consensus right now is about $1.16 for the second quarter. The reason I gave in a range of consensus, you know, we're seeing somewhere in the $1.14 to $1.18 range. I think, you know, the reason I'm giving a rough consensus in that kind of range, Dan, you know, energy services I gave – we think we're similar, given the adjustments we're making right now, to keep the business profitable. But there's a little bit of uncertainty in the energy services segment.
Daniel Moore: Very helpful. Thank you.
Operator: We’ll go to next Al Kaschalk with Wedbush Securities.
Q – Al Kaschalk: Good morning, guys.
Joe Muscari: Hi, Al.
Q – Al Kaschalk: I guess on that consensus comment there, there's one analyst that's a bit outside the ballpark there.
Joe Muscari: I don't think that was included in Doug's comments.
Doug Dietrich: Yes. I took that one out, Al.
Q – Al Kaschalk: In all seriousness is that fair to say that $1.14, 1 $1 8 is what you're thinking. I think that helps in terms of the prior question. So, to that point, I guess the areas that I wanted to focus on, where you're getting – whether it's seasonal strength, but for – since under your portfolio of ownership, the construction technologies there, they – you gave it 2 X. But how about the margin cadence in that business, given what has been I guess some strong opportunities? And then if you could tie that as well to the – I think it's specialty minerals, where you have more building product and markets or commercial end markets, which we're seeing very strong demand for product there.
Doug Dietrich: Sure. So let's start with construction technologies. I think, you know, we showed some charts before, which give you kind of a pro forma margin for that business, prior to the acquisition 2014 and 2015. You know, if I recall correctly, I think, fully loaded margins the way we're looking at it today, we're almost 2% to 3% back in 2013. I think they improved to around 8% in 2014 and we're running at almost 11% now. So we've continued to drive profitability through productivity and cost savings in that business. I think there's more room to grow those margins as we start to sell more of a higher margin GCL products like Resistex. Those are going to drive margins, continue to grow margins. So I think that's going to take some time. Joe mentioned that we see, probably, four times the Resistex products, still, you know relatively $12 million is not an enormous portion of the segment. But as those grow and as we grow that business with some of these specialty products into Asia, which is some of our targets, we think we think we can grow margins closer to, you know, the 50% range.
Q – Al Kaschalk: Okay. So in terms of, you know, the order or the bid work that's generally highly – high element or component of this business, have you been awarded some larger contracts or are you progressing? I know it's a high churn, high annual bid market. But give us a little bit of color on what activities you're seeing that would maybe even support the calendar year margins and let alone the recovery into 2017.
Joe Muscari: Yes, Al, this Joe. I'll start and then I'll turn it over to Patrick Carpenter who can give you more color and granularity around it. I would reinforce my opening comments. We really are beginning to get very good traction with utilities. And so where these aren't mega projects, they are decent size projects. So we're starting to see those. The red mud area, again beginning to see some penetration with companies like Alcoa, that, again, they're a pretty decent size project. And when you think of those two areas, coal ash, red mud, we're talking about facilities around the world that these are going to become very, very large markets to us. And we're at the very early stages of beginning to penetrate with products designed specifically for the applications and needs of those two areas. Patrick, do you want to add to that?
Patrick Carpenter: Sure. Thank you. Good morning, Al. To go back a little bit on identifying opportunities we've seen an increase of nearly two-fold in the amount of opportunities we've had identified to date versus a year ago. And 40% of those opportunities came as identified in the first quarter. So if we look all the way back into the landfill lining evolution into this technology of GCLs, this energy business has that same feel, where you've got electric power utilities seeing this as an alternate to three-foot of clay and the opportunities to have that same speed and same opportunity in much larger and typical size of the facilities. So the opportunities are gaining pace well over all of 2015.
Q – Al Kaschalk: And if I understand correctly, Patrick, those are generally side-by-side or company specific and the parameters are being laid out by the states, as opposed to the EPA or what's on the coal ash side in particular?
Patrick Carpenter: Al, they're being driven by the enforcement that came to really fruition October of last year. So it's a U.S. EPA guideline that has been enforced since October that these utilities need to have this multiple-layer system for protection. So this is really similar to the original business of landfill lining. It's U.S. EPA enforced. And it's federal.
Q – Al Kaschalk: Okay. Joe, I want to switch to a slide. I'm sure you don't really care to talk too much about, but it is reality. On Slide 18 on the energy side. And if I look – if I'm reading it right, the sales, since you acquired this business, has been nothing but down. And you're back down to my count to sort of a period where AMCOL had the business at about $100 million run rate. So I guess what I'm trying to appreciate and I'm sure you are as well, the core business that's there or left on waste – on the water treatment and the filtration side is, I think, seeing some pressure from a competitive market standpoint. Yet the visibility for growth in here and why you want to keep this business in the portfolio, I guess. I'm just going to continue to question that and see where you stand. So again appreciate that I'm not trying to pick here, but appreciate what you see in a business that seems to have some structural longer term challenges.
Joe Muscari: Yes. I'd say, Al, as I touched on in the last call when you asked a similar question, that the challenge right now is to keep the whole energy services team focused on achieving, what I call, the high ground. Right. The high ground is the filtration business and the wastewater business. We still are able to differentiate, vis-a-vis the competition. We've seen the least amount of price impact downward in that area, as opposed to the more traditional commodity areas of the energy services business. But the challenge right now is to – because things are not stable, we haven't reached stability yet. And we need to get to a place. There's some additional things we're looking at right now in terms of changes that we're going to have to make, that Andy Jones and his team are focused on. And I think once we get to a more stable place, now you could say, and we see some of this, that oil prices seem to be stabilizing. If that continues, then we'll be in a much better position to, going forward, figure out directionally what the best thing is to do with the business. But right now, I mean, it's, you know, in terms of selling any business at a low, is normally not a very good thing to do, we're not actively marketing the business. We're really focused on trying to keep it as a viable business. And keep it profitable. And I think so far, you'd have to say we’ve been able to do that. Andy and the team are going to continue and we expect, like I said in my remarks to keep it profitable. As a, you know, a company that is very much shareholder-value-focused constantly, we'll end up for the longer term doing the right thing in terms of what will deliver to shareholders the most value.
Q – Al Kaschalk: Thank you. And good luck.
Joe Muscari: Thanks.
Operator: We’ll go next to Rosemarie Morbelli of Gabelli & Co.
Rosemarie Morbelli: Well, thank you. Good morning, everyone.
Joe Muscari: Hi, Rosemarie.
Rosemarie Morbelli: I was wondering. Environmental was up 18% and I understand that you have new product lines that you are offering, but is that business kind of a lumpy type of business and, therefore, you know, this quarter it was up 18%. But for all we know it may not go anywhere next quarter. Could you touch on the backlog going forward?
Joe Muscari: [indiscernible] what I might say. You are absolutely right. It is a lumpy business. It's lumpy within its seasonality. Right. It's lumpy within a quarter, it can be. However, we didn't say this during the call, but I will tell you if we continue to see success in coal ash and red mud, we could actually take out some of the lumpiness, because we're focused on, right now, globally in these two market areas are continuous stream of business. That will allow us to, not only raise the revenue level, but start to smooth out from period to period. It may take us a little while to get there, because we're fundamentally developing the market, in part, by responding to a current need, but also we're setting the standard for what is needed in this – in both industries for the long-term. Patrick, you want to add to that?
Patrick Carpenter: Thank you. Good morning, Rosemarie. You know, in addition to what Joe had said, the four times in growth, the other pieces are still very strong, in addition to coal ash and red mud. We look at, in the environmental shipping projects in mining, that seems to have moreover growth in previous years. In addition, two industrial landfills are coming in. So not necessarily specific to coal ash, but to other industrial sites that need lining or specialty products. Building materials is also very strong market. The market growth for overall commercial construction is at the 2007, 2008 levels as we see 2016. So the support for this business and growth comes from really all aspects, the environmental products, the building materials staying strong, and then the other drilling materials that go into civil and environmental, seem to be constant over last year. So overall supported by both sides of CT.
Rosemarie Morbelli: You mentioned mining, you're seeing more growth in mining. However, mining is kind of in the doldrums. Could you help me understand why you are seeing growth in mining at the moment?
Patrick Carpenter: A couple of those I would say we've got a total of six projects that really are talking about remediation also. So some that are building out, leach pads in the past have been part of that growth, but a lot of the work today is remediation within those sites.
Rosemarie Morbelli: And thank you. That is helpful. And I was wondering, one area you didn't talk about is mercury removal. And I know that you have a venture or an agreement with a company, the name of which I forget, in terms of technology, that may replace activated carbon.
Joe Muscari: Yes, actually the company that we supply to and have a small ownership position in, has gone bankrupt or is in bankruptcy at the moment. We continue to sell product to customers through that company. And at this stage, it's hard to say what is, you know, what is going to come out of the Bank, the bankruptcy itself the change in the regulations, right, the moderation, the delay has affected sales. I'll let Jon Hastings who has been right in the middle of that, comment further.
Jon Hastings: Hi, Rosemarie. A couple points. You know, demand has not materialized as quickly as expected ant that was really for two reasons. One was the regulatory uncertainty that Joe just mentioned. But also the power plants. Many of them have converted to alternative fuels, the lower natural gas price certainly has affected their choice of fuel. And, as a result, there had not been as much demand in that market for the Novinda's products and also other competitive products as well. As Joe said, we continue to, we're supplying about a $2 million annual rate. And we continue to work and support Novinda through their restructuring and we'll see what comes out the other side.
Rosemarie Morbelli: Okay. And, Joe, you mentioned that the increased competitiveness in the nitrogen business, is that one business that could go the same way as coil tubing? I mean, you just exited. You don't need to sell it or can you give me a feel for what you are planning in that particular side.
Joe Muscari: Yes, we haven't finalized anything, but potentially it could go in the same direction that coil tubing went.
Rosemarie Morbelli: Okay. And then one last, if I may. I did not catch the number of shares you bought during the quarter, Doug, do you mind giving it again.
Doug Dietrich: 49,000 shares, Rosemarie.
Rosemarie Morbelli: Thank you. I'll get back in queue.
Operator: We’ll go next Ivan Marcuse of KeyBanc Capital Markets.
Ivan Marcuse: Hi, guys. Nice quarter. Thanks for taking my questions. The first one that I have, assuming the energy business is sort of sales sort of stay at this level and once you get all of the cost cutting that you're looking at, what kind of profitability do you see this thing on a longer-term basis, et cetera. You did nice job on the refractory side. Do you think you'll be able to do the same in terms of the breakeven point?
Doug Dietrich: Ivan, right now we're working on keeping the business profitable. $700,000, this quarter, I think similar in the second quarter. Joe mentioned we're going to be looking at, you know, further cost reductions, potentially looking at the nitrogen business as we go through. So it's a little bit difficult to outline for you what additional savings we see going forward. We definitely think we can improve profitability from these levels. However, that really depends on how these markets continue to evolve. The energy markets. I can’t tell you that our filtration business both domestically and internationally is still relatively strong and it is the most profitable and still relatively profitable piece, service line. So as we focus more on that product line and growing it internationally, I think we can improve – we can continue to improve profitability in the business. But how that occurs over the next couple of quarters, right now I can see one quarter and we think we are about the same as we were in the first.
Ivan Marcuse: Okay. Great. Doug, where do we stand on working capital efficiency, that you sort of laid out when you did the AMCOL deal and I know that you've been on track. How much do you think you'll be able to squeeze out of working capital this year?
Doug Dietrich: We've been about halfway to our target, about $15 million of $100 million. I got to tell you we slipped a little bit in the first quarter. And largely due to some of the strain we're seeing on energy and steel. We've seen some pretty stiff demands from some of our customers to extend payment terms. So we made some improvements in some areas. We slipped in some receivables, because we've had to give some terms increases to some of our other customers in the services business. So we slipped a little bit. We still have our eye on that target. We think we can make some continued headway this year to get back on track. But we had a little bit of a slip in the first quarter.
Ivan Marcuse: Okay. And then if I did my math right, on a trailing basis, you're run $215 million or so in terms of free cash flow? Is there anything that won't repeat looking forward or should free cash flow sort of stay in this level of at least for as far as you could tell for the next 12 months as well?
Doug Dietrich: Yes. We are seeing similar operating cash flow this year to last. And free cash flow could little bit higher, I think our CapEx might be slightly lower. But, you know, $5 million to $10 million. So we're looking about $80 million to $90 million in CapEx this year. Similar rate to last. So, again, we're targeting about the same operating cash flow over last year, same free cash flow and that continue same debt repayment.
Ivan Marcuse: And then if you look switching over to PCC business, you're doing, again, a nice job there in terms of growth. What sort of – is this acceleration in the chart you put on slide nine, is this trend sort of continue over multi-year period, like how to think it's lumpiness of these projects coming on. But sort of how are you looking at the growth of these, looking for the next four quarters or however you want to look at it, in terms of modeling it?
Doug Dietrich: Well, you see if you look in the top right, there's three satellites that are under construction. Like I said the next one that comes online, is probably the beginning of the third quarter, that's 100,000-ton satellite. That's going to be similar to that where you see the UPM Changshu and the Sun Paper, those were both about a 100,000 tons satellite. It will ramp up, again it starts in the third and it will take three, four, five months to ramp it up. Next year, into 2017, we have another about 100,000 tons coming online there. And we have about 13 to 15 additional filler targets, you know, that we're going after that as we capture those – work to capture those contracts that will continue going forward. So I don't think, you know, look, like I answered Dan’s question, I don't know if you're going to see, you know, this constant slope. I think you might see a flatter quarter, then an up, then a flatter quarter and an up, as we lay these in per quarter. But overall I think you’re going to see the trend of that line continue as we bring these new satellites online.
Ivan Marcuse: Well, the UPM and the Sun Paper, there's nothing irregular in there, those are pretty good proxies of what sort of a ramp looks like as the plan comes on?
Doug Dietrich: Yes. Like I said the spacing and timing on quarters may change. Those two came on…
Ivan Marcuse: Right. In general?
Doug Dietrich: Yes. But in general you should see that trend – we expect that trend to continue. Again right now we don't see any closures in North America and Europe, which could affect it, as you've seen in prior periods. But that blue line we're continuing to work, we're keeping that trend. We think that trend can keep going over annual basis.
Ivan Marcuse: Great. Thanks for taking my questions.
Operator: We’ll go to next is Silke Kueck of JPMorgan.
Silke Kueck: Good morning. So I think the previous caller asked about a cost-savings target, you said you couldn't give it because of the energy services business. So is the way to think about it that excluding the energy services business, you know, that would be savings here or last year energy services grew, I don't know, $14 million in EBITDA maybe this year it's going to be $4 million. So, is that a way to think about it, excluding energy, there really would be like a $10 million – you know, it would be $10 million in cost savings that you would have otherwise or something like that?
Doug Dietrich: Okay. So take energy services aside, we’ll go back to…
Silke Kueck: EBITDA. Right.
Doug Dietrich: Let's go back to last quarter's call. You know, the Company achieved I think a 6% or 7% overall productivity improvement last year. And I think, I mentioned last quarter that was worth $5 million to $6 million in savings. We also have some energy savings at the Company. This quarter, I think it was the first quarter over first quarter almost $3 million. So you know I think we're going to continue on that pace of cost savings, excluding what we do in energy services to continue to remove overhead. So similar performance. Again we have to keep the productivity improvements going, but similar performance to last year, Silke, if that helps you?
Silke Kueck: Okay. That's helpful. And, you know, there's still $150 million share repurchase program outstanding. But there were very few shares repurchased at like $48. And so, you know, I assume now that the shares are at $60, the main target really is just debt reduction for this year. Right?
Doug Dietrich: Yes, from a capital allocation, you know, we're going to continue this year to focus on debt repayment and putting capital toward that. You know, we do take, as we've always taken, a balanced approach to the use of capital. And as we see opportunities, we're going to continue to repurchase shares. You know, what we'd like to do, at the minimum is, you know, buy enough shares back to offset the dilution from our compensation programs. That's first target. And more if we see opportunities to do so. But again the primary focus is going to be on debt repayment this year.
Silke Kueck: Okay. Lastly, I was wondering whether you could comment about, you know, pricing trends, whether you think your incremental prices in Paper PCC and your larger areas, whether it's construction, performance materials, do you think pricing is generally flattish or it's [indiscernible] positive or negative?
Doug Dietrich: Well, on a currency-adjusted basis, it's been negative. We've been impacted by our sales internationally. I think in real terms…
Silke Kueck: Excluding currency.
Doug Dietrich: Excluding currency I think they're relatively flat. There is some mix effect. I think you're seeing net pricing as a company going up as we move – well, sorry, not as a company, say in performance of materials with pricing of some higher-margin products in pet litter and fabric care. I think, in specialty minerals is a bit of a mix as we see more higher margin talc and specialty PCC that will help. However, as we mentioned before, as we grow in China and in Asia, prices of PCC in China and Asia, in general, are lower than they are in North America and Europe. And that has, largely, to do with the input costs primarily lime. Lime costs are lower in China. And we price, as you know, our pricing model that gets passed through to customers. So our unit pricing in Paper PCC is lower in Asia, so you'll see some, you know, flattening of that line because as we grow in China.
Silke Kueck: That's helpful. Thanks very much.
Operator: At this time, we have no further questions.
Joe Muscari: That concludes our call today. And thank you very much for your interest in Minerals Technologies and have a great day.
Doug Dietrich: Thank you.